Operator: Good day, and thank you for standing by. Welcome to the First Merchants Corporation Second Quarter 2023 Earnings. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. Before we begin, management would like to remind you that today's call contains forward-looking statements with respect to the future performance and financial condition of First Merchants Corporation that involve risks and uncertainties. Further information is contained within the press release, which we encourage you to review. Additionally, management may refer to non-GAAP measures, which are intended to supplement, but not substitute for the most directly comparable GAAP measures. The press release available on the website contains financial and other quantitative information to be discussed today as well as reconciliation of GAAP to non-GAAP measures. I would now like to hand a conference over to the Chief Executive Officer, Mark Hardwick. Please proceed.
Mark Hardwick: Well, good morning, and welcome to the First Merchants second quarter 2023 conference call. Carmen, thank you for the introduction and for covering the forward-looking statement on page two. We released our earnings today at approximately 8 a.m. Eastern, and you can access today's slides by following the link on the second page of our earnings release or by going to our website through the Investor Relations section. On page three, you will see today's presenters and our bios to include President Mike Stewart, Chief Credit Officer, John Martin, and Chief Financial Officer, Michele Kawiecki. On page four, you will see a map representing the geographic locations of our 119 banking centers, as well as a few financial highlights as of 6/30, June 30 of 2023. Turning to slide five, I'm happy to report that our performance remains healthy and strong, and our teams continue to meet the demands of our communities and our client base. We reported second quarter 2023 earnings per share of $1.02 compared to $0.63 per share in the second quarter of 2022, or $1.01 when adjusted for a couple of extraordinary items, last year to include our acquisition of Level One. Net income was just over $60 million for the quarter. Return on tangible common equity totaled 18.04%, and return on assets totaled 1.34% for the quarter. Year-to-date, we've earned $124 million, or $2.09 per share. We remain committed to mid single-digit loan growth and our continued low 50s efficiency ratio through the remainder of 2023 as we manage through what's left of continued modest margin compression. Now, Mike Stewart will provide more insight on our balance sheet to include a small non-core loan sale, and Michele and John will cover their respective areas. We did see an uptick in non-accruals that I know John will be covering in detail. Mike?
Mike Stewart: Yes. Thank you, Mark, and good morning to all. Slide six remains unchanged and is a reminder that our financial results represent the durability of our business model within these markets we serve. And if you visualize the map on slide four, we primarily operate within these three states, the heart of the Midwest. Our markets include growing metropolitan cities like Indianapolis, Columbus, and Detroit, with many mid-sized cities and communities in between. As the last bullet point under the consumer banking header states, we serve diverse locations in stable rural metro markets. First Merchants has a granular and diverse customer base of deposits and loans derived from these four listed banking segments. Through the second quarter of 2023, these markets have remained resilient to the broad economic environment with stable unemployment rates and with businesses continuing to seek ways to expand and optimize their operations. We remain committed to our business strategy, and we remain committed to our strategic direction of organic growth, continuing to invest in our team, continuing to invest in our technology platforms, and top-tier financial metrics. So, if we turn to page seven, the top of the page offers a breakdown of our core loan growth by business units. The total annualized loan growth for the second quarter was 1.5% and 4.7% for the first six months of 2023. As noted on the page, we chose to sell a $116 million commercial loan portfolio that was not core to our relationship banking expectations, as there was no ability to cross-sell or gain depository balances from those clients. That portfolio had been aggregated over the years through bank acquisitions and through direct origination. The portfolio was managed centrally and had a secondary market valuation that allowed for an effective sell. So as the footnote states, when adjusting for that $116 million sell, our annualized second quarter loan growth was 4.7% and 6.9% for the first six months of 2023. Moreover, when adjusting for the sell, the commercial segment loan growth for the quarter was 4.1% versus the 0.9% decline on the top right hand side of the slide. All the commercial loan growth during the quarter was within the commercial industrial sector as our investment real estate portfolio showed a small decline. The commercial segment as we've talked about before represents over 75% of our total loan portfolio and the new loan generation during the quarter was approximately $142 million when adjusting for that non-relationship loan sale and over $300 million year-to-date. While the consumer segment on this page contracted this quarter by 0.6%, that dollar amount was less than $2 million, and all that decline was within our private banking clientele. The mortgage portfolio growth during the quarter was approximately $80 million in adjustable rate loans, and as we discussed last quarter, we have modified our mortgage approach and have pivoted back to an originating sale model with a target of 70% of originations to be sold. Page 15, the non-interest income highlights page reflects that continued growth in gain on cell fee income. So overall, the commercial segment continues to be the loan growth engine of the bank, and we continue to get higher spreads on our new loan generation. Within investment real estate segment, the spreads continue to widen up to 50 basis points on a similar risk profile from the second half of 2022 and within the C&I space, the spreads have widened up to 25 basis points with a strong emphasis on relationship strategies, deposits, and fees. The commercial and consumer loan pipelines ended the quarter at consistent levels to prior quarters. So like I said before, we are committed to continued organic loan growth with our clients and with prospective clients. Our balance sheet is positioned for that growth and our underwriting remains consistent and disciplined across all of our markets. The overall economic environment coupled with our current loan pipelines affirms my expectation of single-digit loan growth moving forward through 2023 with commercial driving the bulk of that growth. Let me talk a little bit about deposits, which is on the bottom half of that page. Deposit balance contracted roughly 3% on an annualized rate for the second quarter, but through the first six months of 2023, total deposits have grown nearly 3%. The commercial and consumer decline is primarily due to clients using their excess liquidity within their working capital cycles or their capital plans to minimize debt usage or to optimize their capital structures. These clients with the clients that have excess deposits have been active in taking advantage of money market and CD rates, specifically municipalities and private wealth clients. On a unit basis, we continue to grow our commercial and consumer households throughout the quarter and year-to-date. I'll turn the call over to Michele to review in more detail the composition of our balance sheet and the drivers of our income statement. Michele?
Michele Kawiecki: Thanks, Mike. Slide eight covers our second quarter results, and that is followed by the year-to-date results on slide nine. As Mike touched on in his remarks, loan growth totaled $163.2 million this quarter, which was offset by the sale of $116.6 million of loans, which netted to our stated loan growth of $46.7 million for the quarter. The investment portfolio declined $165.9 million during the quarter, which included sales of bonds totaling $101 million. Despite a deposit decline of $122.1 million, we were able to reduce federal home loan bank advances by $100 million and kept broker deposits flat this quarter. All of this demonstrates good liquidity and balance sheet management while maintaining the ability to support our customers' credit needs, despite the industry's liquidity tightening. Our loan-to-deposit ratio increased slightly to 84.3% this quarter, compared to 83.3% in the prior quarter. Pre-tax pre-provision earnings totaled $71.6 million this quarter. Pre-tax pre-provision return on assets was 1.58%, and pre-tax pre-provision return on equity was a strong 13.38%, all of which reflects strong profitability metrics. Tangible book value per share totaled $23.34, an increase of $0.41 over prior quarter, and $2.89 over the last year. Details of our investment portfolio are disclosed on slide 10. The sale of $101 million in bonds that I mentioned resulted in a realized loss of $1.4 million, or 1.4%. The effective duration of the portfolio remained stable at 6.5 years. Expected cash flows from scheduled principal and interest payments and bond maturities through the remainder of 2023 totals $150 million. Since quarter end, we have sold approximately $35 million in bonds, and we will continue to sell bonds where we see opportunity, creating additional cash flow. Slides 11 and 12 show some details of our loan portfolio and our allowance for credit losses. The total loan portfolio yield increased meaningfully, up 34 basis points to 6.34%. New and renewed loan yields averaged three-point or 7.3% for the quarter, an increase of 22 basis points from last quarter. New commercial loan yields are generally higher with yields in the high 7s and low 8s. Mortgage construction loans that were locked in a lower rate environment offset those higher commercial loan yields, impacting the overall new loan yield. 8.2 billion of loans, or 67% of our portfolio, are variable rate, with 38% of the portfolio repricing in one month and 54% repricing in three months. So we will continue to benefit from loan repricing throughout the remainder of the year. The allowance for credit losses on slide 12 remains robust at 1.8% of total loans, along with $26.9 million of fair value accretion remaining. We did not book any provision expense this quarter, but we'll continue to monitor economic forecast changes, loan growth, and credit quality to determine provision needs in the future. Slide 13 showed details of our deposit portfolio. We continue to have a strong core deposit base with 43% of deposits yielding 5 basis points or less. The percentage of uninsured deposits declined to 25.5%, and the average deposit account balance is only $34,000, reflecting a diversified deposit franchise. Our non-interest bearing deposits were 18% of total deposits at the end of the quarter, which was down from 20% in the prior quarter, reflecting the continued mixed shift driven by our commercial customers. Although total deposits were down $122 million at quarter end, they have increased by $168 million since June 30th. Our total cost of deposits increased 58 basis points to 1.99% this quarter, reflecting the competitive pricing environment. Our interest bearing deposit cycle to date beta at quarter end was 47%, which was up from 37% last quarter. Note that our deposit betas do include time deposits. Although we expect the cost of deposits to continue to increase through the remainder of the year, we expect the pace will be slower than what we've experienced this quarter. Next, I will cover some notable income statement items, beginning with net interest income on slide 14. Net interest income on a fully tax-equivalent basis of $143.7 million declined $6.7 million from the prior quarter, but was $8.9 million higher than the second quarter of 2022. The decline in net interest income reflects the margin compression we're experiencing, as the rising earning asset yield shown on line five was offset with higher funding costs shown on line six. The resulting stated net interest margin on line seven totaled 3.39% for the quarter, a decline of 19 basis points. Despite the decline, we did see some stability in margin in the back half of the quarter, with June margin ending at 3.4%. Non-interest income on slide 15 increased $1.3 million, driven primarily by a $1.2 million increase in gains on the sale of mortgage loans.  In previous quarters, we were portfolioing about 70% of mortgage production and selling 30%, but that has flipped and we are now selling 70% of the production and only portfolioing approximately 30%, so we will be able to sustain a higher level of mortgage sale gains going forward. Moving to slide 16, total expenses were in line with our guidance and totaled $92.6 million for the quarter. Salaries and benefits expense decreased $2.7 million compared to prior quarter due to lower incentives and an annual benefit plan expense that was recorded in Q1 of $1.3 million, thereby elevating Q1 expenses. FDIC assessment cost increased $1.3 million to a total of $2.7 million this quarter. We expect our FDIC assessment costs to normalize to a run rate of $3.1 million next quarter given we have now recognized all of our FDIC assessment credits in the first half of the year. Our low core efficiency ratio is 52.21% for the quarter and 51.96% year-to-date, which is reflected in the top right of the slide, shows that we continue to achieve strong operating leverage despite rising funding costs and continued investments in our business. Slide 17 shows our capital ratios. Our strong earnings growth this quarter drove capital expansion in all ratios. The tangible common equity ratio increased 24 basis points totaling 7.99% back to our internal target despite the impact of increased unrealized loss valuation on the available for sale portfolio due to changes in rates during the quarter. The comments in the highlights communicate the strength of our capital ratios after reflecting the impact of unrealized losses in our bond portfolio. The common equity Tier 1 ratio for the quarter was 11.07% and total risk-based capital ratio is now at 13.48%. Overall, we are pleased with our balance sheet strength and the sustainability of our business model as is reflected in our Q2 results. Our earning asset mix continues to trend in a favorable direction and we feel our balance sheet is well-positioned heading into the third quarter to support the growth of our company. That concludes my remarks. And I will now turn it over to our chief credit officer, John Martin, to discuss asset quality.
John Martin: Thanks, Michele, and good morning. My remarks start on slide 18. I'll highlight the loan portfolio, touch on the expanded portfolio insight slides, review asset quality and the non-performing asset role before turning the call back to Mark. So turning to slide 18 on line 1, C&I, regional banking reflects the sale of the $116 million term loan B portfolio that Mike Stewart mentioned earlier. Backing this out, regional banking grew by $18 million, roughly 2.5% annualized. The decision to liquidate the term loan B portfolio was related to the non-relationship nature of these assets and the liquid nature of the portfolio. The entire portfolio was liquidated with a $128,000 gain. C&I sponsor finance grew $124 million, driven by increased relationship management, market coverage and slower than expected payoffs from sponsors who are being patient given the market. We have maintained consistent underwriting and continue to see stable to improved loan pricing. Moving down to slide nine, we slowed balance sheet growth of one to four family mortgage loans with $81 million added to the portfolio in the quarter. We've completed the origination transition strategy, we discussed last quarter by adjusting loan rates to return to our historical levels. Turning to slide 19. I've included and updated the portfolio insight slide to provide additional transparency. In the commercial space, the C&I classification includes sponsor finance as well as owner occupied CRE associated with the business. Our C&I portfolio is representative of our markets and has a 19% concentration in manufacturing. Our current line utilization remains consistent around 41% with commitments increasing $162 million. We participate in roughly $600 million of shared national credits across various industries down from $782 million last quarter associated with the term loan B sale just mentioned. These are generally relationships where we have taken a position and there is access to management and revenue opportunities beyond the credit exposure. We also have roughly $65 million of SBA guaranteed loans. In the sponsor finance portfolio, I continue to highlight key portfolio metrics. There are 80 relationships with 68% having a fixed charge coverage ratio of one and a half times. This is trended down with higher borrowing costs, but still healthy with the current classified loan portfolio of 3.8% as compared to 3.5% the prior quarter. Borrowers are platform companies owned by private equity firms with an eventual expectation of sale. We review the individual relationships quarterly for changes including leverage, cash flow, coverage, and borrower condition. Moving to construction finance, we have limited exposure to residential development and we are primarily focused on one to four family non-tracked individual build residential construction loans through our mortgage department. For commercial construction, we continue to have a bias towards multifamily construction. We continue to give detail into our non-owner occupied commercial real estate portfolio. Since the great recession, we have focused on multifamily CRE lending while selectively adding projects and other segments. Office exposure is broken out the chart and represents 2.1% of total loans with the highest concentration outside of general office being in medical. From a historical perspective, the portfolio has performed well, much like the rest of the portfolio. The office portfolio is well diversified by tenant type and geographic mix. We continue to periodically review our larger office exposures and view the exposures as mitigated and acceptable given the current market conditions. On slide 21, I highlight our asset quality trends and current position, NPAs and 90 days, greater than 90 days past due loans increased 13 basis points this quarter. We had two larger commercial relationships which moved to non-accrual totaling $26.6 million accounting for much of the change. The first credit was what I would term asynchronous caused by a fraud that impacted our borrower's ability to repay. While the second was driven by a pullback in industrial construction in a segment of the market in which the borrower focused. On line 3, the $6.6 million decline in 90 days past due resulted from the resolution of two separate relationships immediately following the first quarter and were not related to the relationships I just mentioned. Classified loans remain stable at 2.09% of loans, below historical and pre-pandemic levels. And finishing out this slide, we had net charge-offs of $1.9 million or six basis points for the quarter. Then moving on to slide 22, where I have again rolled forward the migration of nonperforming loans, charge-offs, ORE and 90 days past due. For the quarter, we added non-accrual loans on line 2 of $33.2 million including the new non-accruals I just mentioned, a reduction from payoffs or changes in accrual status of $8.3 million on line 3 and a reduction from gross charge-offs of $2.3 million. Dropping down to line 11, 90 days past due decreased $6.6 million, which resulted in NPAs plus 90 days past due up $15.9 million for the quarter. I appreciate your attention. And I will now turn the call back over to Mark Hardwick.
Mark Hardwick: Great. Thanks, John, Mike and Michele. We hear from you, our investors, all the time that you value the level of transparency that we share and just appreciate the time to tell our story. If you turn to slide 23 and 24, we highlight our 10-year CAGRs for growth and returns. And on slide 25, we have a reminder of our vision, mission and our team's statement along with the strategic comparatives that guide our decision-making. We do appreciate your time and attention. And at this point, we're happy to take questions.
Operator: Thank you. [Operator Instructions] All right. And in line of Ben Gerlinger with Hovde Group. Please proceed.
Ben Gerlinger: Hey, good morning, everyone.
Mark Hardwick: Good morning, Ben.
Ben Gerlinger: I was curious if we could just touch base on deposits. It seems like across the bank space, the second quarter is probably the most amount of pain and then it's starting to alleviate in the back half. I was curious if you could give any clarity towards like the end of quarter if not July deposit costs? And then, how things have trended over the past, let's call it 60 days in terms of pricing?
Michele Kawiecki: Yes. Ben, I can give you start off and give you some information. So, our June interest bearing deposit costs were 2.6%. So hopefully that gives you some color. We do expect that there will still be some pressure on deposit costs, but we do think it will slow from here on. It already feels like it's slowing a bit and has kind of felt like that through particularly through the back half of the quarter.
Ben Gerlinger: Got you. That makes a lot of sense. And it seems like from a credit perspective, everything is fine. But loan growth itself is probably a little bit softer in the back half of the year. I was curious, just what are some of the puts and takes that your clients are saying, or potential frustrations or why they might not be lending? Or is this entirely just you guys pulling back on a little bit on the reins to adhere to pristine credit?
Mike Stewart: Its Mike Stewart. I'll try to give you a point of view on that. We've been very focused on our relationships. So, we were very willing to continue to work with our clients. Our underwriting like I've noted hasn't changed. We talked about a non core relationship sell, so that's really not a point of view around our willingness to continue to be active in capital formation of our clients and our prospective clients. And we're continuing to make sure that as we think about relationship and pricing during this period of time that we get a nice balance on that. So clients, or prospective clients have to assure that they've got a capital structure and income statement of repayment capacity that not only can work through the inflationary pressures that might be in their business absent interest rate increases, but now they've got to make sure that they can cover the absolute increases in interest rates. So, all -- I think there's a combination of businesses really evaluating their capital structures and their real need to use loans and be really judicious with that use, because they want to get the right return on those. Might require more equity on transactions if you're in the investment real estate or if you're doing an acquisition. But our point of view is, our underwriting standards and are willing to extend our balance sheet is the same.
Ben Gerlinger: Got you. That's helpful. If you just, sorry, just to circle back on the cost of deposits real quick. Michele, when you think about just the back half of the year, looking at your average balance sheet versus the 2.60 reference, it doesn't seem like that much of enough. So hopefully, we are beyond the worst of it here. But when you think about the next six months or even 12 months, do you think the biggest portion is just mix shift that drives the -- it's higher, or do you think that there's potentially some people waiting for the -- alright, we're at the top here with the Fed rate hikes. Let me get the best rate it possibly can and chop it that could drive a little bit more cost. Like, what I'm really getting at -- are the CD pricing and the time deposit pricing at its peak? Or do you think that that could also be a factor outside of just a mix shift of loan?
Michele Kawiecki: Yes. It's a good question given that the Fed is probably going to do another raise here and some forecasts have them doing two. And so whether that drives CDs up a tick more or not. I feel like we're getting to a peak, and I think you know, there may be some customers that still that may be still looking for some rate tonight. I think the mix shift will have a part of it too. I think it might be a combination of all those things. But I do feel like we're getting closer to a peak. We just think, like I said, that we feel like there could be just a bit more pressure through the end of the year, I don't think we're at the peak yet, but.
John Martin: I also just give a point on that. The daily routines of our bankers working with clients. The pace of play, the conversations around deposit pricing and assuring that clients are maximizing their deposit pricing has also started to slow. So I think that the general bank environment and where we're at is kind of at a level where we're all within the same deposit pricing channel markers, and we might all be getting there.
Ben Gerlinger: Right. It feels that way. At least some commentary thus far in the certain experience. So, appreciate the color and insights. Good luck on the latter half of the year.
Mike Stewart: Yes, Ben, thank you. We does feel that we're kind of getting to the end of this process. And we were encouraged by June. I'd love to see the same kind of results in July and August. But at least for now optimistic based on the second half of the quarter.
Operator: Thank you. One moment for our next question please. And it comes from the line of Nathan Race with Piper Sandler. Please proceed.
Nathan Race: Yes. Hi, everyone. Good morning.
Mark Hardwick: Hi, Nat.
Nathan Race: Question on just some of the deposit growth expectations going forward. I think, Michele indicated that deposits were up about 1% thus far in 3Q. So is the plan for funding future loan growth just a combination of some of the securities portfolio, cash flow coming off and future deposit growth? And also curious if there's, if you could maybe size up a portion of securities portfolio that's maybe near par that could also be sold to support future loan growth?
Michele Kawiecki: Yes, I do think that's the way we'll fund our loan growth. I think it will be a combination of deposit growth as well as cash flows from the securities portfolio. And we still think that we'll be able to continue to sell some securities. We do find opportunities where we get good pricing. In Q1, we sold $200 million. In Q2, we sold a $100 million. We sold 35 so far this quarter. I'd say that within that range of Q1, Q2 would be a good expectation going forward.
Nathan Race: Okay, great. And I think just given that the June margin was kind of ahead of the quarter, coming out of June. Is it possible to expect just the margin compression slowing? Is that kind of what was alluded to in your prepared remarks? And if you could maybe size up kind of the future pressure that we can expect in 3Q and 4Q?
Michele Kawiecki: Sure. We do expect the decline in net interest margin to slow through the rest of the year. Using the forward curve, our models are suggesting that we could see potential maybe another 10 basis points of margin compression through the end of the year. And that's assuming that we see just a bit higher deposit beta, cumulative interest bearing deposit beta as well.
Nathan Race: Okay, great. And then just on expenses, thought it was very well controlled in the quarter. I think last quarter. We were thinking to 95 to 96 in terms of the run rate going forward. Does that still hold for the 3Q and 4Q this year?
Michele Kawiecki: Yes, I probably would reinforce the guidance that we gave last quarter of that 94 to 95 on the expense side on a quarterly basis for the remainder of the year.
Nathan Race: Okay, great. And then if I could just ask one more on credit. It sounds like there was some fraud related in the specialty finance company credit that moved to non-accrual in the quarter. Are there any charge-offs that we be thinking about tied to that credit in 3Q? And just any other additional details on that credit in particular, I think?
John Martin: Yes. So the potential loss content of that loan and that relationship has not been fully identified at this point. We continue to review the -- what happened in this situation and establish our specific reserve against that. But into the next quarter -- what we saw in the first quarter, we'll probably see a little bit more in the third quarter related to that name than we saw in the second quarter.
Mike Stewart: Yes, it was interesting. We found out about the situation pretty late in the quarter and we're still actively trying to establish where we stand. And given that it was a fraudulent situation, it takes a while to peel back all the layers And so, we're anticipating some loss in Q3, but at this point, we don't have a number.
Nathan Race: Okay, understood. And then just maybe more broadly on the reserve going forward. Obviously, you guys are operating from a well above average level coming out of the second quarter. Any thoughts on maybe kind of where that bottoms over the next few quarters? Or is there kind of a ACL level that you want to stay above relative to loans or NBLs or anything within that context?
Michele Kawiecki: Yes. I don't think we have like a bright line threshold. I think we're just going to continue to monitor the changes in the economic scenarios and how that informs the model along with balancing information on our loan growth. Right now, we don't see any systemic credit deterioration, which is good, but then we'll also monitor the level of charge-offs that we have. And I just think taking, we'll just have to take a quarter by quarter, take all of that into account to determine whether we decide to book any provision or not.
Nathan Race: Yes, understood.
Mike Stewart: I just answered this in the past, but we've talked about our KPIs, our Key Performance Indicators and we've gone back to look at prior quarters. And we tend to think that the reserve is staying at 1.50 [ph] or above, but you still have to get through all the CECL models and make sure that it works.
Nathan Race: Great. Makes sense. Okay. That's all I had. Thank you for the color.
Michele Kawiecki: Thanks.
Operator: One moment for our next question, please. And it comes from the line of Daniel Tamayo with Raymond James. Please proceed.
Daniel Tamayo: Hey, good morning. Good afternoon, I guess now. Everyone, thanks for taking my questions. So, most of my questions have been asked at this point, but I jumped on a little late, so I apologize if I missed this. But just on the fee income outlook, curious if you had an idea for where that may go? And if there was any anything unusual in the quarter related to the wealth business that that brought that number down a bit??
Michele Kawiecki: Yes. I don't think that there was really anything unusual related to the wealth business. But I would say like our overall level of fee income, it was a little higher this quarter over last quarter, and I really think this quarter's fee income level is a good run rate. We've had we had a few things. The mortgage gains definitely was a plus. But -- and I think we'll be able to maintain that level of mortgage gains going forward. So, I think this is a good run rate to use.
John Martin: Just a little more color. We're so pleased that we've made that shift from using the portfolio to get back to where we had historically been, which is more of a fee-for-service model. And getting to 70% sales, 30% portfolio really does change the fee income dynamic of the income statement.
Daniel Tamayo: Got it. I appreciate that color. That's all I had. Thank you.
John Martin: Thanks, Danny.
Michele Kawiecki: Thanks, Danny.
Operator: Thank you. One moment for our next question please. Alright. And it comes from the line of Terry McEvoy with Stephens Inc. Please proceed.
Terry McEvoy: Hi, good morning, everyone.
Mark Hardwick: Hi, Terry.
Mike Stewart: Hey, Terry.
Terry McEvoy: First question, on Page 20, how much of that $261 million office portfolio will mature over the next six to 12 months? And what are your thoughts on the impact of updated appraisals and overall higher interest rates on that portfolio, and the possibility of either reserves or charge-offs having to be taken?
Mike Stewart: Yes. So, when I look at the office portfolio, Terry, the largest names or relationships in that portfolio have a primary tenant who is, I'll call it relationship. So it's kind of owner occupied-ish, but they occupy less than half. So, it's not an office building that is in a downtown metropolitan sort of configuration. It's a suburban location where we've got a tenant that's occupied a higher portion of the total. So, the concern over a maturity and reappraisal on a write-down as we've kind of gone through that portfolio is relatively low. I don't have the actual what matures in the next year or so. But we've been through the portfolio last year and feel pretty good about what we see in there.
Terry McEvoy: Thanks for that. And Michele, the question for you. Did the outflow of non interest bearing deposits, did that slow throughout the second quarter? And if we get a 25 basis point rate hike, all things being equal. Is that a positive or negative for the net interest margin?
Michele Kawiecki: So, on the non-interest bearing, it did slow some in the second quarter. And in fact, even just looking at June's non-interest bearing and even what we've seen so far through July, it has slowed as well that remix. In fact, in July, we haven't really seen the remix change at all. So, we could still see a bit of remix. I would expect that we would through the end of the year. But as we've kind of the theme, I think of our call is that we're starting to see some slowness in that area, which is great. And I would say that on the -- your -- the second part of your question, given that we have two-thirds of our loan portfolio reprice. Typically, when we see rates increase, and I think with the slowness of deposit rates increasing, I would think that will be a benefit to the margin.
Terry McEvoy: Thanks, Michele. And then one last quick one. Two new non accrual loans, either of them shared national credits.
Mark Hardwick: Where they shared national credits? No, neither of them were.
Terry McEvoy: Great. Thanks for taking my questions. Have a good day.
Mark Hardwick: Thanks, Terry.
Operator: Thank you. One moment for our next question, please. And it comes from the line of Brian Martin with Janney. Please proceed.
Brian Martin: Hey, good morning. Good afternoon, everyone.
Mark Hardwick: Hi, Brian.
Mike Stewart: Hey, Brian.
Brian Martin: Hey, just one follow-up, I guess, Michele on the margin, and that was the -- I guess if you look at the margin, I guess, dropping, kind of all your guidance, I guess my assumption is, assumes another rate hike in there for the next meeting here. But just -- as you think about the dollars of NII in the second half, I mean, your expectation with the growth outlook and I joined late, so I'd missed any comments on the loan growth outlook. But is the expectation that sequentially you can grow the dollars of NII even if the margin is declining a bit here in the second half?
Michele Kawiecki: I think with the margin declining, I think there could be a bit of compression in net interest income. That we would see, really the -- what we model is the net interest margin and about it -- right now, our models are telling us about a 10 basis point decline and we'll see. I mean, there's a lot of assumptions that go into us determining all of that. And it's been a pretty challenge from quarter-to-quarter to try to determine where we think things are going to be. So, but that's what our assumptions are today.
Brian Martin: Okay, perfect. And then maybe just one for, I guess, on the credit side, I know there was one question on the Shared National Credits. But John, I guess, just anything when you're looking out there today, that I guess where you're focusing more attention on or just areas that maybe have a bit more concern on? I mean, the Shared National Credits is one thought. But just anything else that we should be paying closer attention to on the credit side of UR, as you kind of look at the numbers and everything holding up still really well here?
Mark Hardwick: Yes. Good question, Brian. It's interesting. I look at -- we look at the portfolio in different cuts each quarter. And there's nothing there from a macroeconomic perspective. Interest rates have impacted borrowers with higher borrowing costs We focus a lot. We spend a lot of time with the commercial construction portfolio and the commercial real estate and the investment real estate portfolio. And so far, borrowers have been able to adjust to the higher rates either through higher rents or just been able to absorb the increased interest costs. But that's really about the only thing I would say. We have had in the senior living portfolio, but that's pretty well at this point. We've hashed through it and have really worked at to a point where I feel pretty good about that as well now. So, that's how I'd respond to that.
Brian Martin: Got you. Okay. And if I missed it, maybe just the loan growth outlook or just the pipelines in general. I don't know if, Mike, if you can just run back through that just quickly or just high level comments. If it's not, I can go back and listen to the transcript?
Mike Stewart: No. I'll hit them again. The bulk of our loan growth for the balance of the year will be coming through the commercial portfolio. We target that at that mid single digit run rate. When you adjust for the portfolio sale that we did, the commercial segment grew a little bit over 4% annualized in this quarter, it's 5% year to-date, a little over that. And the pipeline in commercial is really the same as the pipeline going into this quarter.  So, I really feel good that the commercial business and our willingness to continue to be a relationship bank and extend our balance sheet. We'll continue to see the growth in that mid single digit run rate.
John Martin: Yes. There is no absence There is no absence of demand. We're clearly trying to make sure that in this environment, we're gaining the entire relationship and that we're getting paid for the extension of credit. And so, we're pretty optimistic about the communication we're having with customers. The relationships are still very strong. and just recognizing the environment has changed a little.
Brian Martin: Yes. That make sense. Okay. Well, I appreciate you guys taking the questions. And nice quarter guys.
John Martin: Yes. Thank you, Brian.
Operator: Thank you. One moment for our next question please. And it comes from the line of Damon DelMonte with KBW. Please proceed.
Damon DelMonte: Hey, everybody. Hope everybody's doing well today. Pretty much, most of my questions have been asked and answered, but just looking for a little color on the brokered CDs you guys put on? What's the average term of those as far as, like, the maturity dates?
Michele Kawiecki: They tend to be more on the shorter end of the curve.
Damon DelMonte: So generally, like less than a year?
Michele Kawiecki: Yes, less than a year or two years.
Damon DelMonte: Okay. And then, just one kind of modeling question here. I think you guys noted you had a BOLI gain this quarter? Could you call out how much that was?
Michele Kawiecki: Yes. Well, it was actually just a couple of very small ones. And so, I think it was under 800,000 of BOLI gains.
Damon DelMonte: Okay. Perfect. Okay. That's all that I had. Everything else was asked and answered. So thank you very much.
Michele Kawiecki: Thank you, Damon.
Operator: Thank you. And this concludes the Q&A session. I would now like to turn the call over to Mark Hardwick for closing remarks.
Mark Hardwick: Thank you, Carmen. Thanks everyone for your participation. As you can tell, it's an interesting time for net interest margin. We're kind of at an inflection point. And it's hard to give absolute guidance. But yes, we just have looked back at our history. In the first quarter of 2022, our margin was 3.03. It did in increase all the way to 3.72 as rates were rising rapidly, and we were benefiting from a variable rate loan portfolio and our ability to lag deposit rates. And eventually, that changed and we had to start paying more for deposits. And we were additionally aggressive after the Silicon Valley failure that occurred. And so, we landed at 3.39 for the quarter. We've got 3.40 June. It's hard for us to come out and say, hey, we think the next rate increase causes margin to go up. Because we know there's still some additional modest pressure on deposits. But really looking forward to getting through the quarter, having a Q3 net interest margin number that we think kind of establishes a run rate going forward. So, we appreciate your time. And I know as you're working through all the different models and forecasts, it's a key component. So look forward to talking to you next quarter and we appreciate your investment in First Merchants. Thank you.
Operator: And with that, thank you all for participating. This concludes the conference and you may now disconnect.